Operator: Good day, and welcome to the Yunhong Green CTI Fourth Quarter and Year Ended December 2023 Earnings Conference Call. [Operator Instructions] This conference is being recorded today, February 22, 2024. The earnings press release accompanying this conference call was issued last night. On the call today is Yunhong Green CTI's Chief Executive Officer, Frank Cesario; as well as Chief Operating Officer, Jana Schwan. Before we begin, we would want to note that you should read the forward-looking statements in the company's earnings press release. During today's call, management will make certain predictive statements that reflect its current views about future performance and financial results. The company base these statements and certain assumptions and expectations on future events that are subject to risks and uncertainties. The company's Form 10-K for the year ended December 31, 2022, lists some of the most important risk factors that could cause actual results to differ from its predictions. Please note that the company's earnings press release makes reference to adjusted EBITDA and non-GAAP financial measure. The company views adjusted EBITDA as an operating performance measure, and as such, the company believes that the GAAP financial measure most directly comparable to it is net income or loss. For further information, please refer to the earnings press release and the company's periodic filings with the Securities and Exchange Commission. At this time, I would like to turn the call over to Frank Cesario, Chief Executive Officer of Yunhong Green CTI. Sir, please go ahead.
Frank Cesario: Thank you, Jenny, and thank you to everyone joining us today. We finished the year with the strong Valentine's Day shipments already knee-deep in production for Mother's Day, Father's Day and graduation season. Our fourth quarter revenue beat the prior year by $1.2 million as we saw improvement in foil balloons, commercial films and balloon-inspired gifts. One trend we've identified is a shift from everyday business to seasonal business. That's good at this point during the year and something we will work on before entering the second half, particularly as we look to add new revenue streams to our offerings. Year-to-date sales were $17.8 million in 2023 compared to $18 million during 2022. I'm pleased how we fought back from the third quarter deficit on this metric and that shows up in our margin performance. Gross margins improved to 18% in 2023 versus 17% the prior year, and that was driven by a strong fourth quarter. More appropriate revenues allowed us to post a 24% gross margin in the fourth quarter of 2023 versus 19% in the prior year. Helium pricing continues to have a slightly negative impact on our marketplace, but much less so than the prior 18 months. This has been an issue every four years or so and should improve when the Russian supply becomes available. For now, it's something we watch. We always own our results. And last year, we said they simply were not good enough. With all the challenges, I'm pleased to have reported a full year 2023 with a $1.2 million improvement in net income and a $1 million improvement in adjusted EBITDA with earnings per share going from a $0.22 loss to a $0.01 loss. With that said, we are nowhere near where we need to be. We continue to push the envelope on operating efficiently and look to adding new revenue streams. Before we talk about our activity in Hubei, China, I would ask our Chief Operating Officer, Jana Schwan, to share some of the high-level actions we've implemented that led to a much improved financial performance in 2023. Jana?
Jana Schwan: Thank you, Frank, and hello, everyone. We have spoken before about the benefits of automation. We now have two manufacturing lines featuring robotic arms, and it should be no surprise that they are consistently our top-performing lines over and above the reduction in labor cost. We have started the process to have our third line operational during 2024. Results are also driven by strong vendor partner relationships along with processes and people who know what they should be doing and have the experience and culture to raise issues and opportunities as they see. This is an important operating environment that we have developed over the years and it has delivered an incredibly positive impact to the organization as we continue to push the bounds of efficiency. Frank?
Frank Cesario: Thank you, Jana. Now let's talk about that recent bit of news related to our purchasing of a manufacturing facility in Hubei, China. This initiative was not taken lightly and was concluded after careful consideration internally and with our partners in China, who have significant resources and experience, especially with new emerging growth opportunities. As a result of this strategic initiative, we now have more direct manufacturing facilities that can be used in the compostable material business. We also have a stronger connection with the rest of the Yunhong family of companies. We believe this relationship should offer dividends in both our traditional business areas as well as the new material space. By issuing up to 5 million shares of our common stock, we look to acquire a fully equipped facility with working capital, and we can avail ourselves to exponentially more people who can support and grow our business. We and our broader group continued to move through the process of developing and bringing to market our patented compostable, biodegradable and recyclable materials to enhance environmental sustainability. We made this directional push very clear last year when we rebranded our company. We're now building inventory to support our very active period with customers for Mother's Day, Father's Day and graduation season. We are bringing our new assets online for use. We have proven ourselves nimble and look to continue to move at speed. As we don't speak to listen to ourselves talk, this concludes our prepared remarks. We know most people catch this on the replay. But for anyone who's on live, if you like to ask a question, Jenny will open the Q&A line. Thank you.
Operator: Thank you very much, Frank. We are now opening the floor for questions. [Operator Instructions] Okay. Frank, I'm not seeing anyone in the queue at the moment. I can certainly let you know if someone jumps in. I can hand back to you for any further comments.
Frank Cesario: We do appreciate your interest in our company, and we look forward to the story that we can talk about in 2024. And with that, I wish everyone a good day.
Operator: Thank you very much, Frank. Thank you, Jana. This does conclude today's conference. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.